Operator: Greetings, and welcome to Broadwind's Second Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Tom Ciccone. Thank you. You may begin.
Tom Ciccone : Good morning, and welcome to the Broadwind second quarter 2023 results conference call. Leading the call today is our CEO, Eric Blashford; and I'm Tom Ciccone, the company's Vice President and Chief Financial Officer.  We issued a press release before the market opened today detailing our second quarter results.  I would like to remind you that management's commentary and results to questions on today's conference call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of the factors that could cause actual results to differ, please refer to the Risk Factors section of our latest annual and quarterly filings with the SEC.  Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call in the press release issued today. At the conclusion of our prepared remarks, we will open the line for questions. With that, I'll turn the call over to Eric.
Eric Blashford : Thanks, Tom, and welcome to those joining us today. During the second quarter, we continue to demonstrate strong execution on our strategic plan while capitalizing on balanced demand strength across our diverse end markets.  At the same time, we delivered sustained price discipline, drove efficient materials procurement, and reduced our freight expense and introduced process enhancements, which, together with the benefits of the IRA-related tax benefits, translated to significant year-over-year margin expansion and improved profitability in the period. This strong performance was partially offset by planned maintenance at our Abilene manufacturing facility where we are retooling and automating portions of our coding system. The planned maintenance at Abilene resulted in an EBITDA impact of approximately $0.6 million in the second quarter or $0.03 on an earnings per share basis.  Indications of interest from our OEM customers, together with continued stability across our diverse non-wind markets have contributed to improved stability and optimism across our business. As we look to the second half of the year, leading us to increase our adjusted EBITDA guidance for the full year 2023.  The positive momentum within our legacy wind business, together with traction within new, higher-margin adjacent markets that leverage the unique intellectual property we're developing here at Broadwind reflect meaningful progress on a strategic plan, one that emphasizes profitable growth across a broader spectrum of energy transition and clean tech opportunities. As we further expand our product and service capabilities, we expect to drive improved asset utilization and unit economics consistent with our focus on driving improved margin realization through the cycle.  We booked $25 million in orders in the second quarter down about 3% from the prior year quarter as softness in Gearing orders from the oil and gas market were mostly offset by increases in industrial fabrications orders for the Mining segment, orders for our proprietary natural gas producing systems, pressure-reducing systems, or PRS and orders for the natural gas turbine aftermarket. Entering the third quarter, we continue to operate on plan both at a commercial and operational level. We're focused on expanding our product mix within higher-margin adjacent markets as reflected by our latest expansion of the PRS line, the H250 high flow unit.  We've introduced new technical advisory sessions for our gearbox customers and new preventative maintenance service offerings for our PRS customers. Both programs designed to increase the overall value provided to our customers. Operationally, we've deployed lean operating principles across the organization, including continuous improvement projects across all divisions with an emphasis on improved asset utilization. Our consistent focus on team member safety, quality systems and workforce training has allowed us to continually meet the strict quality and delivery requirements so vital to our customers.  The coding system retool and automation project launched in Abilene in Q2 will wrap up later this quarter, and we're looking forward to reaping the benefits of this $1.5 million investment in terms of both throughput and labor optimization.  We generated total revenue of $51 million in the second quarter, a slight reduction in tower revenue resulting from the planned maintenance in Abilene, was offset by increases in all other product lines. We generated $5.4 million of adjusted EBITDA in the quarter, an increase of almost $5 million versus the prior year period, improving upon a strong performance in Q1. The combination of improved EBITDA generation, together with continued working capital efficiency, contributed to strong year-over-year growth in cash flow in the period.  Our Heavy Fabrication segment booked $12 million of orders in Q2, down 5% year-over-year as expected. We're pleased to see increasing strength in our industrial fabrications product line with orders up 12% year-over-year, led by PRS sales.  Gearing orders were $6 million, down 35% year-over-year, driven by a softening of incoming oil and gas orders, partially offset by increases in orders from the steel processing sector. Orders for Industrial Solutions of $7 million continue to be strong, posting a 75% increase year-over-year led by orders for both the natural gas turbine aftermarket and wind repowering projects. Our total consolidated backlog at the end of Q2 was $262 million, up $169 million versus the prior year period. Quoting activity in our non-wind markets remain strong, and we expect good order flow to continue through the balance of the year, notwithstanding the softness in gearing orders for the oil and gas market. Within our Heavy Fabrication segment, Q2 revenue was $34 million, a 5% decrease year-over-year with Industrial Fabrications revenue partially offsetting the reduction in towers revenue resulting from the previously mentioned maintenance activity in our Texas plant.  Gearing revenue was $11 million, a 9% increase year-over-year as customer activity continues to be strong, within both the industrial and steel sectors, up 166% and 52% year-over-year, respectively. Industrial Solutions revenue was up 24% year-over-year led by increases in both new gas turbine and aftermarket product lines. In summary, I am pleased with the operating performance of all divisions through the first half of the year, and look forward to building on this momentum in the back half of the year as we continue to execute our growth and diversification strategy.  With that, I'll turn the call back over to Tom for a discussion of our second quarter financial performance.
Tom Ciccone : Thank you, Eric. Turning to Slide 5 for an overview of our second quarter performance. We had a strong second quarter one highlighted by significant margin expansion and growth in adjusted EBITDA. In Q2, we recognized $5.4 million of EBITDA compared to $0.4 million in the prior year second quarter. The $5 million increase in improved margin realization is due primarily to the benefits attributable to the advanced manufacturing production tax credits or A&P credits, we earned this quarter associated with our wind tower production together with solid overall operational execution. We generated net income of $1.4 million or $0.07 per diluted share in the second quarter. After adjusting for over $1 million of proxy contest-related costs incurred in the second quarter, we generated $2.4 million of net income or $0.11 per diluted share. Turning to Slide 6 for a discussion of our Heavy Fabrication segment. Second quarter orders were $12.4 million, a decrease of $0.6 million from the prior year period. As I stated last quarter, based on the timing of the large multiyear tower order that was received late in 2022, we expect tower orders to be limited when compared to prior periods when orders were placed in more regular intervals. The Q2 orders did include over $8 million related to our proprietary mobile PRS units, a record for that product line. These orders included both our medium flow and newly introduced high-flow PRS model.  Second quarter revenues were $33.9 million, up sequentially but down 1.6% versus the prior year quarter. We recognized less tower sections in the current year quarter, primarily due to the planned maintenance in our Abilene manufacturing facility. Partially offsetting the impact of lower tower sales was an increase in Industrial Fabrication revenue, reflective of higher demand for our PRS product offerings.  During the second quarter, we recognized segment EBITDA of $5 million, an improvement of $3.8 million versus the prior year period, primarily driven by the A&P credits recognized in the current year period as well as the increased Industrial Fabrication product line revenue. Turning to Slide 7. Gearing orders slowed in Q2, totaling $5.8 million, a $3.1 million or 35% decrease versus the prior year quarter. The majority of the decrease was attributable to the slowdown in oil and gas orders. Segment revenue was $11 million, up $0.9 million compared to the prior year second quarter, reflective of the strong backlog with which we entered the year.  We generated $1 million of segment EBITDA in Q2, an increase of $0.9 million versus the prior year quarter, a result of the additional revenue, a more profitable mix of products sold and the lack of ramp-up costs incurred in the prior year. Turning to Slide 8 for a discussion of our Industrial Solutions segment. Industrial Solutions continues to operate in a robust demand environment. We recorded $7.2 million of new orders in Q2, the second highest quarterly intake level since Broadwind's acquisition of Red Wolf in early 2017.  The $7.2 million represented $3.1 million or 75% increase versus the prior year period. We ended the second quarter with a record high $18 million in backlog as we continue to see strong demand for our core natural gas turbine offerings. Second quarter segment revenues increased to $6.3 million from $5 million in the prior year period, due primarily to the strong order intake levels we've been experiencing. EBITDA increased by $0.8 million to $1 million, consistent with the increased revenues as well as an improved mix of products sold when compared to the prior year quarter. Turning to Slide 9. Our quarter end liquidity remains adequate with cash and availability under our credit facility of $15.2 million, a $2.9 million sequential improvement. After the large expected Q1 operating working capital increase, working capital has since decreased by approximately $8 million due to an increased deposit balance. As a reminder, as I pointed out last quarter, it should be noted that the A&P credits are not part of our traditional operating working capital calculation but we do expect this receivable balance to increase during the year. For the balance of the year, we do intend to produce our operating working capital balance and lower debt. Finally, as Eric mentioned, we are increasing our full year EBITDA guidance. For the full year 2023, we currently anticipate total adjusted EBITDA to be approximately $17 million to $19 million. This is up from the $16 million to $18 million range previously announced. We are not changing our existing revenue guidance that remains at the $205 million to $220 million range. That concludes my remarks. I will turn the call back over to Eric to continue our discussion.
Eric Blashford : Thanks, Tom. Looking ahead, the IRA-related tax benefits remain a significant catalyst for new in investment over the coming 24 months. Our win backlog has grown substantially since its passage. Customer interest remains strong and the market remains active, reinforcing our view that wind is positioned for a sustained period of expansion.  As we look forward to the second half of 2023 and into next year, we have increased visibility and an improved backlog in each of our operating segments. As we build on our legacy in wind to expand into new adjacent markets in clean tech, clean fuels, solar, power generation and infrastructure. We continue to evaluate a number of inorganic growth opportunities that could accelerate our entrance into these and other complementary high-value markets. As mentioned earlier, in our Heavy Fabrication segment, we have added coatings automation to improve our plant throughput and leverage labor as we work with our customers to prepare for the expected years long increase in demand. The line of proprietary natural gas pressure-reducing systems introduced last year is progressing as per our strategy. We've released our second model in that product family, the H250 high-flow unit, and we're pleased with the order activity we received for that model so far. We have also introduced rental options and preventative maintenance programs for this product line in response to customer demand. Given our current capacity, we expect to generate approximately $20 million in annual incremental revenue from these products by 2025 at attractive margins. In our Gearing segment, efforts to broaden our sales mix into less cyclical markets to achieve a more balanced revenue stream going forward, remain important for us. And we've expanded our technical sales team to improve our response time.  Order growth from the industrial and steel processing segments has been strong. And we're seeing increased interest in our quick turn gearbox repair and refurbishment services. And finally, our strategy to add process capabilities to our Industrial Solutions business position within existing accounts while winning new ones that improve margins, is yielding desired results. I'm pleased that we booked more than $1 million of wind and solar orders in this business this year as we increase our presence in renewables markets. In summary, I'm pleased with the progress our team is making to build a durable foundation for steady, profitable growth, serving the energy transition in other key markets and look forward to capitalizing on improved market demand in the years ahead. As a wind and renewables investment activity gradually increases over the next several years, we will prudently maintain our facilities, our equipment. And invest in the vital core talent we need to support an ongoing recovery in order activity. We will leverage our presence in wind, clean fuels and power generation while establishing new footholds within other complementary markets, serving the energy transition. Concurrently, we will drive capacity utilization, margin expansion and reduced net leverage, ensuring continued balance sheet optionality to support the long-term growth of our business. As we successfully execute this strategy, we expect to generate significant growth in both revenue and income over the next several years as we more fully leverage our NOLs with an emphasis on long-term value creation.  With that said, I'll turn the call over to the moderator for the Q&A session.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Eric Stein with Craig-Hallum. Please proceed with your question.
Eric Stine : Hey, Eric and Tom. 
Eric Blashford : Hey, Eric. Good morning. 
Eric Stine : Good morning. Maybe just starting on the tower side. I mean, obviously, Abilene filled to a large extent, makes sense given its location. I'm just curious, could you talk a little bit about the Wisconsin plant. I mean what do you feel like you need to see in the industry to start to gain confidence in timing. I mean, obviously, that will be filled at some point. Is it activity picking up in the Midwest and wind markets that are closer? Is it waiting for other plants, industry-wide to fill up that might be in more advantageous locations? Or how should we think about that?
Eric Blashford : Yeah. I think certainly, we see about 44 megawatts or 44,000 megawatts or 44 gigawatts of demand in the northern region. We do see it in kind of the central northern region, kind of the Dakotas and west of there. So we would need to see some of that demand materialize. Again, there's plenty of demand there in the eastern part of that region. We do expect that to happen.  What's encouraging to me is that 44 gigawatts is a lot of demand, and this is in terms of announced advanced development, even some delayed projects. This does not really include what's already under construction. So the demand is there. But you're right, we would not -- we would need to start seeing some of that demand materialize in the northern and the eastern most part of that region, meaning Minnesota, Iowa, the Dakotas versus Wyoming, Montana and further west.
Eric Stine : Got it. And then in terms of just other I mean, other plants is that -- so it really is more just activity in starting up closer to Manitowoc rather than just capacity being filled industry-wide in other locations?
Eric Blashford : Correct. I mean we are on the eastern side of that, Eric. So we've got some competitors that are more West. And so you're correct, as they fill up and their demand goes western, then we would fill up. 
Eric Stine : Got it. Okay. 
Eric Blashford : Again, other plants in Minnesota and Iowa, et cetera.
Eric Stine : All right. That is helpful. Thanks for that. And then maybe just turning to the guide on EBITDA. I know that Abilene, just the work there, you're obviously setting up for the back half and into 2024 and it limited Q2, but the EBITDA guide does imply that it would be down potentially sequentially or down from Q2? And I'm just trying to make sense of that given if you're going to be heavier on the wind side, you get more of the A&P. Just thoughts on that. Are there other parts of the business, whether it's mix or something else that may limit EBITDA in the back half?
Tom Ciccone : Yeah, Eric, thanks for the question. I think a lot of it has to do with the fact that we had a -- we executed very, very well in Q1 and Q2. As you mentioned, the mix was very favorable in Q1, Q2, and some of that will turn around in the latter half of the year.
Eric Stine : Got it. Okay. But wind, obviously, I mean, that will strengthen. It's simply mix in other parts of the business?
Eric Blashford : Correct.
Eric Stine : Okay. And then maybe last one for me, just on kind of thinking about 3Q-4Q, as you see the order book and the timing. I mean, do you -- is it how should we think about these? I mean, are they at this point, similar looking quarters? Or do you envision 1 quarter higher than the other?
Eric Blashford : From the order book, I would say it's consistent from the year on out. Tower orders, as you know, Eric, have been traditionally spiky, and we won this really nice order late last year. So we do expect order activity to continue. I don't see a number of very, very large ones over the next six months or so. But I do see strong order flow in the other businesses, Industrial Fabrications, Industrial Solutions, and, to a lesser extent, Gearing for the rest of the year.
Eric Stine : Okay. And then from a revenue I guess just the revenue linearity of revenue for the back half of the year, I mean, is it fair to say that right now, I mean, they look like pretty similar quarters? Or is one at least at this point, looks like it might be higher?
Eric Blashford : Yeah, I would say we've got tower projects in both of our plants, the one in the northern plant, a lot of that will ship some -- most of it will ship in Q3. So Q3 will be a stronger quarter than Q4. But the latter half of the year will be balanced other than that.
Eric Stine : Okay. Thank you very much. 
Eric Blashford : Thanks, Eric. 
Operator: Our next question is from Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal : Thank you, good morning, guys. 
Eric Blashford : Hey, Amit. 
Amit Dayal : Just following up on Eric's question you answered last question and answer to that. In terms of the backlog, you had this big win late last year. So it looks like there's nothing significant that may be coming up that may be of that size this year. But the pipeline going into next year, are there deals of that size or similar sort of bigger or smaller, I guess, that could materialize for you and help maybe ramp utilization even better?
Eric Blashford : Sure. There are always larger deals that are percolating. I do expect some maybe smaller deals to materialize over the next couple of quarters for smaller tower deals and perhaps larger ones into '24, potentially late '23 into '24.
Amit Dayal : Okay. And with the visibility that you have right now, will that -- say, by the end of '24, will you potentially be at full capacity levels? And then how do we plan for growth ahead of that?
Eric Blashford : This is to Eric's question, it has the full capacity, especially in the northern plant has to do with these is about 44 gigawatts of data coming of tower demand coming online, turbine demand coming online. The timing of that is slower than the timing in the southern part of the wind belt.  So I would say, over the next couple of quarters, we should see that demand increasing. As far as full capability capacity in the northern plant, I would not look to that until perhaps into 2025.
Amit Dayal : Okay. Thank you for that. Maybe just last one for me, guys. The strength in the non-wind business, is this just being driven by like sort of a stronger market environment? Or is there anything you've been doing as a company from a sales and marketing perspective that is helping you perform better in these segments?
Eric Blashford : Yeah. We've had a diversification strategy for a couple of years now. I've spoken about that a number of times. We have hired some experts in our sales force to go after specific industries.  As an example, the mining industry in Gearing and material handling in Gearing to help us diversify from oil and gas. As far as Industrial Fabrications, we are leveraging the capabilities we have in our northern plant that has excess capacity or available capacity because of the tower softness right now to go after markets such as construction, material handling, mining, marine. And we've had great success there and growing success there. Plus, let's not forget our proprietary products that are coming out. They came out last year, and it will continue to come out over the next year or so.  Furthermore, Industrial Solutions business, that's dependent on the global demand for natural gas turbine utility scale, global natural gas turbine demand around the world, and that is increasing. In fact, that's been at its highest point since the acquisition in 2018.
Amit Dayal : Understood. Okay. That’s all I have, guys. I'll take my other questions offline. Thank you. 
Eric Blashford : Thank you. 
Operator: Our next question is from Justin Clare with ROTH MKM. Please proceed with your question.
Justin Clare : Yeah. Good morning. So I first wanted to ask about the Abilene facility. Just given the bookings that you have for that facility, the visibility into demand, could you update us on how you're thinking about the capacity at that plant? Are you thinking about expansion? If so, how much capacity could you add? And what would be the time frame? And then also if you could address what the cost might be in terms of the CapEx requirement?
Eric Blashford : Well, we're continuing to study opportunities to expand that plant. We've got customer interest in that plant, and it continues to grow. We have conducted and continue to finalize studies on what it would take in terms of time and investment to expand that plant anywhere from 10 to upwards of maybe 50%. We're evaluating that. And that could be an investment, I would say, it could be $40 million or $50 million on the high side.
Justin Clare : Got it. Okay. And then you did indicate in the prepared remarks that the A&P credit balance is expected to increase through the year on the balance sheet here. I was wondering if you could just update us on your plans for monetizing that credit. Could you look to monetize the credit early? Or are you likely to wait for your tax return to get the cash payment there? It sounds like from others that we talked to, the pricing could be in the low 90s -- $0.90 on the $1 or so. But just wondering if you could talk through kind of your strategy there.
Tom Ciccone : Yeah. Thanks, Justin. We have been looking at monetizing them. The market has been slow to develop, at least from our perspective. We're trying to reach out to interested parties. We have several conversations.  There's an aspect to the guidance that came out, which would make us kind of more inclined to transfer if possible. So we definitely were interested in doing so. But at this point, we don't have anything -- nothing is imminent at this point.
Justin Clare : Got it. Okay. And then just one more on domestic content. We have received some guidance from the treasury on the domestic content requirements. And it looks like the towers really are going to have to be manufactured in the U.S. to qualify for the domestic content adder. So wondering if that's changed the discussions that you're having with customers at all? Are you anticipating really the vast majority of U.S. demand being met by domestic sources? And maybe you can just speak to what that might mean for the supply and demand dynamic that you're seeing out there?
Eric Blashford : Yeah. We do see -- we certainly are appreciative of that finding as a U.S. company. We do believe that it's in our customers and the developers' best interest by U.S., by domestic. And yes, that certainly helps with increasing the demand for our towers here in the U.S. I think there will be a good balance between the supply and demand curves going forward with some announced expansions in our industry plus the available capacity that we have and others have that can be brought online.  So I think there will be a nice balance to support the U.S. industry and maintain adequate pricing.
Justin Clare : Okay, great. Appreciate the time. Thank you. 
Eric Blashford : Thanks, Justin. 
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Eric Blashford for closing comments.
Eric Blashford : Yes. Thanks, everyone, who participate in the call today and listen to the call today. And we look forward to coming to you with our Q33 results. Have a great day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.